Martín Taraciuk: Good morning, and welcome to Moolec's conference call. My name is Martín Taraciuk, and I'm Moolec's Head of Investor Relations. [Operator Instructions]. Moolec announced its third quarter fiscal year 2023 business highlights yesterday after market closed. A press release is now available on the company's Investor Relations website at ir.moolecscience.com. This morning, you will hear from Gaston Paladini, Senior Chairman and Co-Founder of Moolec Science, together with Amit Dhingra, Chief Science Officer; and Jose Lopez Lecube, Chief Financial Officer and Director. In today's call, we will be referring to a presentation that will be available on the company's Investor Relations website. This conference call is mainly for informational purposes only. And during this call, the company will be making some forward-looking statements regarding future events and results. Statements that are not historical facts, including, but not limited to statements about the company's beliefs and expectations are forward-looking statements. Forward-looking statements involve inherent risks and uncertainties. Further information regarding these and other risks are included in the company's annual report on Form 20-F filed with the SEC and available on our Investor Relations website. I would like to turn the call over to Gaston to comment on our business and recent developments. Gaston, please go ahead.
Gaston Paladini: Thank you, Martín. Hello, everyone. I'm thrilled to present our first business update conference call as a public company. I want to thank you all in advance for your interest and support. These few months have been exciting for Moolec due to all the milestones we are about to share now. I would like to start by outlining today's agenda on Slide 3. First, we have been able to deliver scientific and operational milestones in a very short period of time. We have made significant progress on different fronts, such as R&D and regulatory matters. Secondly, we are happy to announce integrations on both downstream and upstream capabilities. Thirdly, I would like to walk you through the execution of Moolec's business plan in order to implement our short, medium and long-term strategy. And last, we will show our significant highlights on the financial front. Let's move forward now to the next slide, where I will share our latest scientific and operational milestones. On the cheese and nutraceutical program, we are moving according to schedule with our safflower molecular seeds multiplication campaigns on both SPC2 and GLASO products. Also in the last one, GLASO, we have achieved expression levels of approximately 60%, which is 10% above our expectations, significantly improving the GLA oil yield. Finally, I would like to highlight that last March, we received regulatory clearance from the USDA-APHIS for our GLA production safflower plants. On the meat replacement program, new proteins were successfully expressed in the several [indiscernible] and other ones reached the transformation stage. We were able to scale up our prototyping operations from 3 liters to 300 liters and PCR analysis confirmed that transgenic events contain the desired animal genes in . Moving now to Slide 6. I want to show you a summary of how our pipeline strategy looks today. In terms of research and development for new products, Moolec is at the forefront of the plant-based animal protein food ingredients and is committed to being a leader in this field. Our team is working really hard in the development of revolutionary products through a process of discovery, transformation, development, selection and scale up into production, while simultaneously undergoing regulatory approvals with agencies like the FDA and the USDA. Displayed in orange, you can observe our latest progress as of today. Project moved from discovery to transformation stage since the feasibility assessment and contract design were successfully concluded. Also the regulation pathway for GLA safflower oil, GLASO was completed after we received regulatory statutory [indiscernible] clearance, as I previously mentioned. Let's now turn to Slide 7, where Amit Dhingra will present a bit of scientific dive into our soybean . Amit, go ahead.
Amit Dhingra: Thank you very much, Gaston. In this chart, I will walk you through how we work through the process of discovery to selection to get that 1 selected event. Our ultimate goal is to get to that 1 transgenic event that has the best combination of the highest expression level of animal protein and yield performance, then that seed is multiplied for further work. For discovery, we started by synthesizing DNA or the gene coding for animal proteins of interest. After that, the gene was inserted into an expression vector. A vector is like a truck that allows us to deliver the cargo of gene expression components into the cells and integrate the animal protein DNA into the plant DNA so that the animal protein can be expressed stably in the transgenic lines through different generations. During the genetic transformation stage, vectors are inserted in plant chromosomes, plants expressing the desired proteins are grown in cultures and selected by using PCR. In this project, we started with 550 0 generation or T0 transgenic events that were narrowed down to 256 transgenic generation 1 or T1 events using PCR that allowed us to know whether or not those events contained the desired animal protein genes. Soon after, the remaining events were further narrowed down using the main KPIs from the plants where we finally selected 140 second-generation transgenic or T2 transgenic events. So we are currently at the development stage. We will get to third-generation or T3 transgenic events using animal protein level of expression as the key selection criteria. We already have some significant results regarding expression levels. Once we have these 3 transgenic events, we will test them in the fields to see how they behave under real agronomic conditions in order to finally select the best event. Now let's move to the next slide where I will provide additional details on the regulatory clearance from the USDA. So on March 31, Moolec received regulatory status review clearance from USDA-APHIS for our GLA-producing safflower. As you can imagine, this is an exciting and a major milestone. This huge milestone marks the completion of this project's regulatory pathway in the U.S. Collectively, and now we have approvals from the FDA on the final product for human and animal consumption and USDA-APHIS for planting genetically modified safflower seeds in the U.S. soil. What does this RSR approval mean? It means that Moolec GLA safflower plants pose no greater plant pest risk than non-genetically engineered safflower plants according to regulation found at 7 CFR Part 340. And how does this impact us at Moolec? It increases the efficiency of our upstream operations by decreasing operating costs that we would have incurred if the crop was regulated. Also, it makes our operations more agile due to the fact that we no longer need permits to import interstate movement or grow these plants in the United States. It is also very important to highlight that the USDA's green light increases awareness of Molecular Farming as a safe technology, and it sets a precedent and a pathway for regulatory approvals for all of our products in the future. Now let's go to Slide 9, where I would like to explain the scale of progress achieved in our operations so far. So looking closer at our products, SPC2 and GLASO which are in the scale up stage, these products have demonstrated encouraging results with regards to seed multiplication. On the left side of the slide, you can see the scale up of seeds for the SPC2/chymosin-producing safflower. We went from 0.7 hectares to 27.4 harvested hectares last January, which equates to a 42x extension of genetically modified safflower seeds. At the center, you can observe the scale-up of GLASO seeds. This year, we planted 20 hectares that we expect to harvest this fall in October 2023. This equates to a 25x expansion of transgenic seeds. Last year, 60% of the total oil in GLASO safflower seeds was GLA. That is 10% more than our initial projections and expectations. This is significant for us because it improves the economics that we estimated for this project. Lastly, on the right part of the chart, you can observe the growth in scale from a lab to a semi-pilot facility. We increased the size of our reactor 100x, coupled with a sixfold increase in biomass . Thank you, and back to you, Gaston.
Gaston Paladini: Thank you, Amit. Let's move forward now to the next topic in our agenda, which addresses the integration of upstream and downstream capabilities. Let's move ahead to Slide 11. On the business front, our team has been working to grow and develop our products and business both organically and inorganically. We are always actively analyzing value-added opportunities. On April 11 this year, we were pleased to announce and disclose the acquisition of a plant-based ingredient capability. This includes a state-of-art soybean processing facility with 10,000 tons per year of capacity that is already fully operational. These facilities are strategically located in a soybean corridor to maximize raw material origination and focuses on the development of texturized vegetable , TVP, that serve as food ingredients in meat substitute as meat replacement. This capability bring to Moolec Science a highly experienced team with a 10-year track record on production and commercialization of soy ingredients. This will be complementary in areas such as product development, sales and engineering. The deal terms included $6 million, of which $2 million was paid in cash at closing, $0.5 at 6 months, and the rest will be paid with MLEC shares from which $0.5 million will be transferred in 12 months and the rest with a period subject to meeting certain business metrics during the next 3 to 4 years. Let's go now to Slide 12. You can see a lot of soybeans here. This is because we are pleased to announce today that we have signed a memorandum of understanding or an MoU with Bioceres Crop Solutions . We believe this has synergies with the acquisition we just discussed. This strategic deal will give Moolec the possibility to finance working capital needs for the next 18 to 24 months. The MoU formalized and reaffirms the commitment and alignment with one of our main shareholders [indiscernible]. Additionally, it brings an ESG approach that consolidates seed-to-fork strategy that I will explain in the following slides. The deal will consist of Bioceres delivering up to 20,000 tons of HB4 soybeans progressively over the next 3 years. Soybeans will be paid at maturity with common shares or cash at the option of Moolec. Moolec's Chief Financial Officer will later explain more details about the financial side of this deal. Moving now on to Slide 13. I would like to point out how important and complementary the HB4 soybean deal is for Moolec. It will bring us the opportunity to build our value chain and use of Molecular Farming technology on top of a traceable and sustainable platform. Bioceres have been developing HB4 technology for almost 20 years as a drought-tolerant technology in soybeans. HB4 platform supplies around 100 farmers helping to lower water and carbon footprint, the use of chemicals and reconnecting farming practices information, thanks to this technology. The combination of Molecular Farming technology with the HB4 platform will contribute to the transition towards carbon neutrality, agricultural regeneration, work inclusion, transparent value chain and a clear end product label information focusing on traceability. Let's now continue to the next chapter of this presentation, where we will address the company's business plan overview. I would like to start this chapter by stressing the massive size opportunity that Moolec has at hand. The total addressable market or TAM expected for 2025 for all of our product is approximately $827 billion. That is near the trillion-dollar figure, and this is huge. On the left side and from a top-down approach, the TAM includes processed meat from the traditional industry, alternative proteins, nutritional lipids and rennet. On the right side, we have the serviceable addressable market or SAM that is approximately $37 billion. We have built the figure from a bottom-up approach that includes, first, $22.4 billion from the non-meat ingredient market, such as flavoring, coloring, binders and texturing that are huge both in the traditional and alternative protein industry to extend and improve processed meat and plant protein properties. Second, $13 billion for TVP, for texturized vegetable protein market that is used as a food ingredient for direct human consumption. Many of you may not know that TVP is used to complement processed meat products to make them affordable and also in the main source of protein using meat analogs as meat replacement. And finally, we have $1.5 billion for gamma linolenic acid or GLA and $0.3 billion for chymosin serviceable markets, which were narrowed by product type, geography and applications. Overall, the growth of our target market will be mainly driven by double-digit growth figures in the alternative protein industry. Let's move to the next slide. Moolec's platform has integrated a network of farmers, sustainable soybean procurement and industrial demo center to replicate and scale with farmers globally, keeping an asset-light approach and a network of customers that are food producers and distributors in 14 countries in 3 different continents that give us market understanding. Please now turn to Slide 17 where we explain in phases of our business plan execution. Moolec's business plan execution has 4 consecutive stages. As we move forward and start timing those stages, we will be able to deliver more value-added products with similar cost structures and higher margins. In Stage 1, we were traditional soybean seeds with our current industrial capabilities. The end products from this process is a soybean texturized vegetable protein or TVP that is sold across the world to food companies and distributors in the traditional and plant-based industries for human consumptions, mainly as meat replacement. By signing the definitive documentation of the deal with BIOX, we will stand in Stage 2. We incorporated HB4 soy to have a more sustainable product that the world is demanding, and we you to a traceability and a lower CO2 footprint. In Stage 3, we will leverage the company's technological experience to enhance and adapt processes, prototype and incorporate future clients for Moolec Soy 2.0 TVP that has Moolec's technology. Finally in Stage 4, we expect to have animal proteins inside Moolec's molecular seeds that have our ingredients by contracted growers with potential partnerships and process it in Moolec's owned and third-party facilities. I will now like to hand the call over to Jose to give a review of our financial highlights.
Jose Lopez Lecube: Thank you very much, Gaston, and good morning to everyone. It is a pleasure to be providing the first business update of Moolec. Today, I would like to take some time to review our corporate structure at the listing, run through the latest financial highlights and provide color on what strategic initiatives we are pursuing. Please keep in mind that all numbers mentioned today are in U.S. dollars, unaudited and based on IFRS unless otherwise stated. Moving on now to Slide 19. As the business combination effectiveness and subsequent commencement of trading in NASDAQ, our corporate structure still reflects a very strong presence of our regional shareholders, manifesting a renewed vote of confidence in our progress as a company. As a spinoff of Bioceres Group, a proven leader in life sciences, we maximize efforts and traction by combining technologies in mutually beneficial partnerships as described in previous sections. This has also positive financial implications we will touch on in the following slides. Moving forward to Slide 20. I would like to go through our underlying financial strategy and the most important events that for the company. The current year has proven to be challenging for financial markets. After business combination with LightJump and subsequent listing on January 3, Moolec received $10 million of proceeds facing a high level of redemptions in line with market trends. As of the 31st of March, we have $6 million of cash and cash equivalents. We continue navigating a difficult year for financial markets. We are managing our cash position efficiently while at the same time, putting in place initiatives to generate increasing positive operating cash flow. In order to manage our cash position in the short term, we have negotiated payment schedules for the majority of listing expenses, issued $2 million of debt through one of our subsidiaries at 0% interest rate and expect to maintain controlled operational expenses in line with our historical . The negotiated payment schemes for the listing piece will alleviate cash needs in the short term and smooth payments through March 2024. The $2 million of debt issuance offsets the upfront payment of our recently acquired downstream capabilities. Moolec has a historically low cash burn while at the same time, proving to progress in R&D projects. We expect this trend to continue throughout the rest of 2023 calendar year with no significant increases of R&D and moderate increases in our administrative expenses. In parallel, our objective, as mentioned, is to increase operational cash flow, while deferring share issuance. In order to achieve this, we have acquired an operational assets with a revenue-generating pipeline. This transaction was structured with 50% share-based payments deferred through 2024, 2025 and 2026. Finally, we have signed a memorandum of understanding with Bioceres Crop Solutions with the objective to secure the majority of raw material costs also with deferred share-based payment of 3 years. As we continue working with Bioceres on definitive documentation, this agreement will significantly decrease raw material cash expenses and generate liquidity for R&D and expansion of operations. Let's now turn to Slide 21 where I will explain the equity subscription memorandum signed with Bioceres in more detail. Upon closing of the definitive documentation, Moolec would have access to up to 20,000 tons of HB4 soybeans progressively in the next 3 years in a mutually agreed delivery schedule. We expect this to cover the majority of raw materials needed for our downstream capabilities in the next 18 to 24 months. This transaction will also allow Moolec to defer the payment of soybean for 3 years. And at maturity, Moolec would have the option to pay for a principle of $14 million plus a payment in kind of 9% with common shares or cash. Throughout the life of the instrument, Bioceres will have the option to do an anticipated conversion to common shares at a strike of $11 per share. I will now turn things over to Martín for the final Q&A portion of our call.
A - Martín Taraciuk: Thank you, Jose, Gaston and Amit. At this time, our management will be taking questions. [Operator Instructions]. So we have our first question coming from Brian Wright from ROTH Capital. And the question is, can you talk about Molecular Farming technologies first quarter results.
Gaston Paladini: Sure. Well, thank you, Brian, for that. And good morning to everyone. Very pleased to start this Q&A and to be hosting this first business update for Moolec as a public company. Again, thank you, Brian, it's a good question, of course, because we are definitely a science-based company focusing Molecular Farming technologies by being pioneering with this tech. And I will pass the post to Amit to explain our significant progress in Molecular Farming, specifically in the safflower seeds that we are in scale-up stages and also in our soybeans and in the labs and greenhouses stages. So Amit, please move forward and please bring more details to Brian.
Amit Dhingra: Thank you, Brian, for your question, and good morning, everyone. I'm very excited about this update, sharing this update about Moolec Science. So in the first quarter, I'll start with the 3 sections. Of course, we talked about safflower. We have quantified the expression of GLA oil, which, as we shared earlier, out of the total oil content, 60% of the oil is GLA, and that is really exciting for us. And then we also talked about the RSR or the regulatory approval, which now allows us to move forward with several aspects. So the regulatory approval is completed for 1 of our products, which is really significant, as you can imagine. So that's the first part of that. Now I'll switch to soybean. In soybean, we are already at T2 generation. So once we integrate these expression cassettes or the vectors that produce that animal protein, we have confirmed by PCR. We have moved these onto the second generation already. We are also right now in the process of confirming the expression levels. We are seeing some significant results. We are in the process of confirming everything right now, which is really exciting to see this all materialize together. And those plants are in the greenhouses right now. As soon as we have confirmed everything, we'll move them to the multiplication stage where we can then start working with those products. And then finally in peas, we have confirmed that the peas that we have selected by PCR have the gene that we want to express. Those plants are currently in the greenhouse going through the motions of getting to the different generations. It is very important to see the stability of this expression cassette that is stably integrated over multiple generations. That's a standard in the industry or just in the process of creating -- utilizing the Molecular Farming technology. So that's a quick update on what we've been working with that. Thank you. Anything else to add, Gaston. Over to you.
Gaston Paladini: Yes. No, I think it's a very good answer. Thank you, Amit. Of course, Brian, we could get deeper into the technology in one-to-one or maybe in another question. I'm really now -- sorry, Martín, that I jumped here that have just sent a question regarding the HB4 platform and the HB4 soybean from Bioceres. So Jessica says, how does this differ from traditional soybean. Quick answer is that this is a technology that Bioceres has been developing for more than 20 years as a drought-tolerant technology in soybean and also in wheat. So that means lower carbon footprint, water footprint as well, the lower use of chemicals and this platform has the possibility to gather information and to get the traceability technically from seed to fork because this technology also is included in the platform of traceable farmers, so we know where this seed and grains come from and any specific information about this production. And you also make a question regarding what will the HB4 soybean [indiscernible] be used for. And that's a very important question because it's not also a strategic upstream acquisition, so a financial acquisition that Jose could explain later on because this is technically the raw material that we need for our downstream brand-new capabilities to produce TVP, texturized vegetable . That's the base of our ingredient and this is a base of soy, of course. I don't know if the audience knows, but soy proteins are one of the best meat analog, meat replacement in the food industry. In the traditional food industry, replacing meat in the processing meat industry and also in the alternative industry. So we have the procurement of this soybean to produce ingredients right away. And that's quite important for us for our current operation. So Jose, I don't know if you want to expand the question? If not, we could go directly to Brian's new question.
Jose Lopez Lecube: Thank you, Gaston. And again, it's a pleasure for me to be part of this first business update. So what I would say about the Bioceres, BIOX deal is that it has different levels of positive implications for Moolec. Of course, we're working on definitive documentation and definitive terms. But as you mentioned, the first positive implication is the soybean traceability and that will be used for or the recently acquired assets that Gaston mentioned. But it's very important that for these recently acquired assets, we have a secure source of raw material. And on top of that, that we have in place a scheme that guarantees working capital through a structure that will allow us to be fair or to pay the soybean and Moolec will have the optionality to pay for that soybean in 3 years in cash or with equity. So that is very positive in terms of the funding of Moolec overall.
Gaston Paladini: Thank you, Jose. Now Martín, you want to read Brian's new question?
Martín Taraciuk: Yes. We have Brian's new question. And the question is, what is the practical effect the GLA expression levels at 60%, [indiscernible] expectations? You mentioned on the call, this was a function of oil yields. How does this compare to current standards?
Gaston Paladini: Thank you, Martín, and thank you, Brian. I think it's a very good question. Well, the level of expression for us is one of the most important KPIs as a science-based company because we are producing molecules and a specific high-value ingredients into plants. So if we could get better results of a level of expression in seeds that's very positive for us. But I will leave that question to Amit to better explain this specific milestone for Moolec from the scientific point of view and also from a business point of view because this is when the science and the business join and connect by getting good results in the lab and in the fields. Amit?
Amit Dhingra: Yes. Thank you, Gaston. The big part is that you asked the question about what -- how does it compare? So the total oil yield or total oil content in soybean is 40% of oil.
Gaston Paladini: In safflower, sorry, Amit.
Amit Dhingra: Sorry, sorry. Yes, sorry. And I was going on that side. So it's about 23% total, but oil in safflower and as you can see, by first such presentation, I can be a bit nervous, right? Anyway, so 23% and then of that, 60% of the oil content of total of that is GLA, and it does not significantly impact the total oil content. Now this is a value add. But also this is coming from the fields actually. So this is in real agronomic conditions while it can fluctuate here and there a little bit, but I think just getting the 10% extra in the last year season that we had. That, of course, has a practical implication on the economics of production as well as which Jose can speak to better. But I think in general, generally speaking, it doesn't change the plant. There was no impact on the plant's performance. Nothing really changed. So this is, again, a great example of how you can produce a value-added product in a crop without having a detrimental effect. Now that doesn't apply universally, but in this particular case, for sure that we've been able to see a very good achievement of this milestone. We were expecting 50% and it's at 60% today.
Martín Taraciuk: Thank you. So we don't have any more questions. [Operator Instructions]. So this concludes our Q&A session. At this time, I would like to hand the call to Gaston for final remarks.
Gaston Paladini: Thank you, Martín. I will really like to thank you all again for joining us today. It's a great milestone for Moolec as a company by being here hosting our first business update. Well, as you surely know, we are focusing on building value for our stakeholders, of course, and saving the planet by planting the future of food with Molecular Farming technologies, that's our core, and that's our goal. That's what we are. That's why we are here. And that's the main reason why we are here, creating the future of food in Moolec. We definitely want a better future for all, and that's why we really push boundaries here with this tech in food. We value your feedback and support, of course, and we look forward to updating you again soon. The best is yet to come. Stay tuned. Thank you so much.